Tait Sorensen: So good morning, everyone. My name is Tait Sorensen, I'm the Vice President of Investor Relations for STMicroelectronics. Thank you very much for joining us today for our Q4 and Full Year 2013 Results Presentation here in Paris, France. Hosting our event today, of course, is our CEO, Carlo Bozotti. So I'd like to start off with just the main presentation slide. You can see the schedule. We'll have 3 executive presenters today, which hopefully will give you all the information that you'll need. We'll have a Q&A session as well and then also a lunch with plenty of time to interact and get any additional questions you may have. And we'll try and honor our time commitment. So this presentation is being broadcast live over the web and can be accessed through ST's website. A replay will be available shortly after the conclusion of the event. This presentation will include forward-looking statements that involve risk factors that could cause ST's results to differ materially from management's expectations and plans. We encourage you to review the Safe Harbor statement contained in the press release that was issued last night and also ST's most recent regulatory filings for a full description of these risk factors. In addition to today's presentation, we will host our usual investor call at 3:00 p.m. CET time today for those that were also unable to attend. So it is now my pleasure to invite Carlo Ferro, Chief Financial Officer, Executive Vice President, Finance, Infrastructure, Legal and Services -- messed that up, to speak about ST's Q4 and full year results, business and financial performance. So thank you, Carlo.
Carlo Ferro: Thank you, Tait. Good morning, everyone. Good morning also to all other participants to this event by webcast live for the STMicroelectronics Year-end Conference. And also, I have to thank those that put stand [ph] here for -- recognizing I have left the first door [ph] as [indiscernible]. Thank you very much for the -- to the organizer. So in my presentation, I'd like to give you some introduction on the business, on the company organization; to discuss the financial performance for 2013; and to see and to brief on where we stand in the execution of our financial model. Many of you are familiar with the company. Let me just give you a quick overview. ST is a global leader in semiconductor with over $8 billion revenues generated in all the main regions. About 60% of our sales are shipped to Asia, but U.S.A. and Europe, I would say Europe and the U.S.A. are the largest contributors to the design activity for the company. We are the largest European semiconductor company, encompassing all the capabilities from conceiving a product to delivery of the product to the customer. And this is thanks to a very substantial effort in research and development with leverage on world-class technologies and leveraging the -- on a unique know-how and set of competencies of 9,600 people that are working in research and development at ST. ST is everywhere microelectronics make a positive contribution to the people's lives. This is the company vision. This is the ground of our product portfolio, which is focused on 5 growth drivers: Smart Power, MEMS and sensors, Automotive, microcontroller, Digital Convergence. So you may see our products are a bit everywhere and looks to make easier, richer, safer, healthier everyday life. So in life.augmented, which is our brand. I'm sure that likely, from this morning to now, you have already experienced some benefits from several of our products in your home, in your car, in your portable device, perhaps in your wrists now. And indeed, ST is #1 in MEMS, encompassing motions, acoustic and environmental MEMS to serve smartphone and portable devices, wearable devices and now entering automotive. ST is #1 in set-top boxes, excluding [ph] the U.S. market, now focusing on set-top box and the Home Gateway as well as on ASIC and FD-SOI technology. ST was #4 in microcontroller. Possibly, we are becoming #2 in combined general-purpose and secure microcontrollers. ST is #2 in industrial electronics. ST is established leader among the 3 top players in the industries in Automotive where we serve all the applications from powertrain to body and safety to infotainment. The organization is based on 2 pillars: the Sense & Power and the Automotive Products, which represents 40% -- 60% of total revenues and includes Analog, MEMS and Sensors, Automotive, Industrial & Power Discrete; the Embedded Processing Solutions, which represents 40% of the total revenues and includes 3 product groups going forward, Digital Convergence, Imaging and Microcontrollers. The former ST-Ericsson legacy products are progressively phasing out and will be from now included in the Digital Convergence group. Each of these product segments is accountable for profitability and for cash flow generation, and each of the segment as -- is on objective to contribute to the company reaching its financial model. We will see it later. You see here the revenues break down by product group. The larger groups are Industrial & Power Discrete, Automotive and Microcontroller. Interesting to note, those are the groups servicing the applications that are enjoying the largest growth in the industry and those are the groups that are delivering to ST a profitability which is higher, well higher, than the average margin of the company. As mentioned, ST has exited the Wireless IC platform business by splitting up ST-Ericsson in 2013. I want to be clear on this point. ST is not exiting the Wireless market, which is among the fastest-growing part of the semiconductor universe. Going forward, ST will continue to be present in mobile phones and portable devices, including power management solutions, imaging solutions, MEMS and sensors, general-purpose and secure microcontrollers, protection devices, tunable antenna, so on and so forth. And you will see about our product offering for mobile and portable device in a few weeks at the world mobile congress. So our focus during 2013 has been on implementing the new strategic plans, including as a key priority the exit from ST-Ericsson joint venture. I believe we can say today that this has been accomplished well on time, smoothly under social [ph] impact, ensuring a supply continuity to customers and requiring much less cash than initially planned. ST has taken over the existing ST-Ericsson products and the related businesses, excluding the LTE modem business as well as equipment and tools in back end in Asia. The ST-Ericsson legacy product generated $133 million revenues in the fourth quarter last year. And given their low margin, reflecting the maturity of this product, they have diluted their consolidated gross margin by over 1 percentage point. These revenues, as you know, are progressively phasing out. Also, ST has taken on board 1,000 people with competencies in the areas of software development in analog like radio frequency and power management, in other design for embedded processing. And all of these resources are now contributing across all the product groups of ST to boost future revenues growth. ST-Ericsson itself is no longer an operating company and the ST-E exposure is now limited to covering 50% of its needs to complete the wind-down, which are estimated in the range of $30 million to $40 million for each of the partner. And then maybe depending on the results of the process of selling patents ongoing, this estimation could be possibly less. So definitively, ST-Ericsson is no longer a risk to the ST's cash position. One year ago, I was not at this meeting. 1 year ago, Carlo, with the chief executive of Ericsson, agreed to drive the joint venture to that complex transition. And today, I'm glad to be back in ST after having accomplished that mission that, believe me, has been miseries [ph] are pleasant [ph] but a mandatory cornerstone to support and to sustain the future of our company. So back to the core business of ST. The market we serve is large. It is $159 (sic) [$139] billion market. And after 3 years, the market is now expected in 2014 to return to a structural trend of growth. So whether -- in 2013, it declined. It declined by about 1.7% based on WSTS preliminary statistics. The decrease was pretty broad in across all the applications, except Automotive which delivered a solid performance. When we talked to you in October, we communicated about a short-term demand correction, and we are experiencing it. We have seen recent signs of progressive recovery in demand. Our booking improved substantially from Q3 into Q4 but remain, in Q4, below the level of the second quarter. The good news now, entering in 2014, is that the forecast of semiconductor growth -- of semiconductor market is a growth in the mid-to-single-digit range. Indeed, WSTS anticipates 4.2% growth. Our second key priority in 2013 was to grow faster than our service market. We did it. Based on WSTS data at the end of November, those at the end of December are not available yet, ST's market share on the service market increased by 22 basis points in the period January-November 2013 compared to the same 11 months of the prior year. The chart on your right further shows that almost all the product groups contributed to our market share gain, with the largest gain by our microcontroller, both general-purpose and secure; and gain in Automotive, in analog and MEMS and so on, so forth. However, there is a disappointing effect on this performance, and this is the fact that the overall market declined rather than grew as initially planned, as well as planned 1 year ago in our financial planning. And these resulted in a level of revenues exiting 2013 much lower than what we did anticipated 1 year ago. Here is our revenues performance, lot of numbers, lot of data. $8.08 billion revenues in the year, $2.015 billion revenues in the fourth quarter, the fourth quarter well in line with the expectations entering the quarter. These total revenues reflect the progressive phase-out of the former ST-Ericsson products. Year-over-year revenues from the legacy products of ST-Ericsson declined by $641 million, and you may understand and you may see that it will take us some time in order to recover these amount, replacing with our product. However, despite the service market decrease, ST's revenues, excluding the former ST-Ericsson part, grew year-over-year by 3.2% in the full year and by 3.9% in the fourth quarter. The main contributors have been Microcontrollers and Automotive products. Looking forward for the coming quarter and for year 2014. For the coming quarter, which is generally affected as a Q1 by seasonality, including the Chinese New Year holidays in Asia, the outlook is a sales decrease of 9.5%, plus or minus 3.5 points, and this includes the ST-Ericsson products that this quarter, really, we see the signs of approaching their end of life and that expected to be at the level lower than half than their level in the prior quarter. For the full year and excluding the former ST-Ericsson products, we reiterate our objective to substantially outperform the service market through new products and expanding our customer base and sales channels. Talking about customer. Talking about customer allows me to remind that, 5 years ago, Nokia represented 18% of the total sales of the company. Now they are still a very important customer, we very much appreciate the business with this customer, but we have to acknowledge that this percentage fall to a few percentage points. And this mean about $1.5 billion of revenues that had to be replaced. So another key ingredient of our strategy is to expand our customer base both through the mass market and distribution and with new OEMs. Looking at our results. Today, our 10 largest customers represent overall about 35% of the total sales. None of them in the fourth quarter exceeded 10% on an individual basis, which is somehow mitigating the risk of customer concentration. We have been able, as you see on the chart, to add the very important names to the top 10 OEMs. You see the names on the chart in alphabetical order. To mention 3, I will mention Samsung, which is the largest overall. I will mention Bosch, which is the largest, excluding the former ST-Ericsson product. And I will mention Apple, which is the first in the alphabetical order. So equally important for our company-wide effort of expanding revenues is to emphasize distribution not only because of the ability to access the largest number of customers through this channel but also given the higher margin we can capture on this kind of product application and channel. And as you see from the bottom chart here, the weight of our sales from distribution is systematically growing. To complete the company overview before moving to the financial performance, here is a view of our global manufacturing footprint. Our front-end fabs are located in Europe, with the exception of a mega-fab in Singapore for mature technologies. In Crolles, France, as you know, we master 300 millimeter technology and we manufacture leading-edge CMOS. Recently, the fab has also expanded its technology reach including products in analog and in embedded and nonvolatile memories. The back-end fabs are located in a location more -- better fitting the labor-intensive nature of that activity, and the volume are mostly concentrated in Asia. One word on our actions in manufacturing since, as you know, we target important improvement to our gross margin to come from manufacturing. On top of better loading, new technologies, continued performance improvements, a number of structure initiatives in manufacturing are under execution and on track, on track for timely completion: the reduction of the 6 inch in Singapore and the progressive ramp based on demand in 8 inch, the conversion from 6 inch to 8 inch in Catania, the consolidation of the back-end plant in China closing the plant in Longgang. Foundries are also an important piece of our manufacturing strategy as they help to mitigate the cyclical nature of the semiconductor business and they mitigate the capital intensity, especially in leading-edge technologies. So we can now move to the financial performance. And the financial performance throughout 2013 sign substantial in progress despite more challenging market conditions, especially in the second half of the year. We met our financial objective for the fourth quarter. We moved into our target range of net operating expenses, reducing the break-even point of the company in the range of $2 billion of revenues per quarter. As anticipated, we generated a positive free cash flow, $91 million in the quarter. And we had $741 million of net cash balance at the end of the year. I will talk later about the solid capital structure of the company. Nevertheless, we are not happy. We could not be happy about the low level of the profitability, and we feel the urgency for further improvement towards our financial model. The gross margin in the fourth quarter, that was in line with the expectations as well, 32.9%, improving 50 basis points sequentially. The gross margin in the first quarter is expected to be about 32.4%, plus or minus 2 points, reflecting the lower revenues and still affected by a suboptimal optimization of the fab similarly to the prior quarter. While the level of sales in a weaker market environment did not allow the significant improvement so far, we target meaningful improvements exiting 2014, driven by the restructuring of our manufacturing footprint in mature technology, better saturation, production migration into new technology in [indiscernible], replacing the low-margin ST-Ericsson legacy product with higher sales of ST's and new products. And we're also pruning some low-margin mature products, taking advantage of reducing capacity in 6 inch. Lowering the breakeven point by decreasing operating expenses is another key ingredient of the plan. We have set a goal, as you know, of net operating expenses in the range of $600 million to $650 million per quarter by Q1 '14. In the fourth quarter, we came within this range, if we consider $28 million of R&D grants in the quarter, but we still have other initiative ongoing as we continue to adjust expenses to its lower-than-anticipated parts [ph] to increase revenues. Additionally, we do expect that the Nano2017 grants to became effective in the first quarter assuming the final clearance by the European Union. So as a result, we are now targeting a net operating expenses towards the low end of our range. As I mentioned, we generated $18 million non-GAAP operating profit in the fourth quarter. This represents a significant recovery, as you see from the chart, from heavy losses in 2012 and the first half of 2013. It's also an improvement compared to the prior quarter, if you remember that prior quarter included $18 million of onetime gain from sale of businesses. And we will continue to drive improvement in our operating results in 2014, targeting to exit the year with a significant step-up in operating profitability by ramping new and higher-margin products, aggressively selling to the distribution and mass market, optimizing the fab loading and reducing the manufacturing costs, in addition to lower net expenses. From a product segment perspective, we have a different situation in SP&A and in EPS. Sense & Power and Automotive is currently running at 7.7% operating margin. All the groups' operating margin are positive, with 2 of them running a double-digit margin. We target about a 10% to 15% operating margin for SPA as a part of our model of about 10% profitability by mid-2015. Embedded processor solution operating results are not positive yet, with the MMS, the microcontroller business, yielding a margin in the teens and 2 groups that are now working on their turnaround. EPS targets about a 5% operating margin as part of our overall company model by mid of 2015. But I'm sure Jean-Marc and Georges will expand about the revenues, boost -- the margin boost there for each of these 2 segments. Another key ingredient of our financial strategy is to reduce the capital intensity of our business model. I believe that, in 2013, particularly in the second half of 2013, reacting to market demand, we did a good job showing ability to significantly moderate the capital expenditure. Capital expenditure were 300 -- $531 million, sorry, for 2013. This represents a CapEx-to-sales ratio by 6.6% after the 5.6% in the prior year. Based on the current visibility for 2014, we anticipate a CapEx in dollar at levels similar to the prior year. A point I want to emphasize is that ST has maintained a stronger financial position and a solid capital structure besides good cash flow in 2013. Our net cash position was $741 million cash balance exiting the year after the distribution of $346 million of dividends. We closed the year with $1.9 billion of available liquidity. And on top, we have about $730 million of undrawn committed credit facilities. As many shareholders are here today hopefully are listening as via the webcast, it is important to highlight our dividend. $0.10 per share per quarter is the result for the prior quarter and the current quarter. This equals a dividend yield by 5.2% on the commercial price. While the dividend decision is made by the supervisory board of the company on a semi-annual resolution, management considers the dividend as an important vehicle in returning wealth to shareholders. Let's move now and conclude on the financial model for the company. Looking forward, our financial model targets an operating income at about 10% and assumes on a quarterly basis, revenues at about $2.25 billion, gross margin in a range 36% to 38%, net operating expenses of $600 million to $650 million. You may note that further expenses reductions are aimed at compensating in the short term this lower-than-expected growth in revenues. And they will allow a sustainable profitability even before reaching the $2.25 billion revenues target, which remain our target. Out of these metrics, let me to offer you some more detail in respect of the gross margin. We are there for the operating expenses. Jean-Marc and Georges will expand on the revenues growth opportunity. About the gross margin. Gross margin is currently running at 32.9%, so about 4 points are required to reach the model's target. The increase is planned and is well deployed to come from a number of drivers. This is out of the former ST-Ericsson legacy products, replacing with other new products of ST. This is over 1 point of contribution. The manufacturing restructuring initiative, for about another point. The product pruning associated with the capacity reduction resulting from the manufacturing initiative, which is about 1 to 1.5 additional points. The technology evolution, the better loading, the efficiencies in 8 inch, in 12 inch in assembling, which is about another couple of points. But of course, please also take in account that, on the other side, we have to consider some price erosion, net of mix change, as typical of our business. To conclude. ST made a substantial step towards its target profitability in 2013, mainly the exit from ST-Ericsson, gaining market share in the core business, reaching the net operating expenses target 1 quarter ahead of the plan. We are obviously not satisfied with the level of profitability so far, and we have a clear focus and identified actions on each of the 3 axes of the plan. We expect to grow revenues outperforming the service markets; the gross margin expansion, as I just described. And we have ongoing programs to decrease OpEx towards the low end of the target of net operating expenses level. So overall, we feel a sense of urgency to further steadily improve the profitability and to achieve our financial model by mid of 2015. At this point, I thank you for the attention and I would invite on the stage Jean-Marc Chery, General Manager of Embedded Processing Solutions. Thank you.
Jean-Marc Chery: Thank you, Carlo. So good morning, ladies and gentlemen. So now I will move on the Embedded Processing Solutions product, technology and manufacturing presentation. So first, I would like to state again what is EPS. So EPS comprises of 3 product groups. So first, DCG, covering ISPs for broadcast set-top box and client, server Home Gateway and digital ASIC for infrastructure communication equipment and consumer. Then IBP, focusing on Imaging, sensor and proximity sensor, imaging signal processor and analog mixed-signal [indiscernible] and photonics, again mainly for communication infrastructure equipment. MMS, covering on both general-purpose and secure microcontrollers and e[ph] platform. So as Carlo said, today, we are consolidating former ST-E legacy products in EPS, but this will not -- it's set up to decrease gradually in the course of this year. So we have 2 front-end manufacturing, so -- and technology R&D capital centers, so called, with 8 inch, 12 inch capability, covering and supporting all the 3 groups. So I am pleased to say that in, 1 year, we have added in the technology focus for you, of course, [indiscernible] the embedded flash memories so to sustain the Microcontrollers business up to now in 18 nanometer, so this activity supporting both general-purpose microcontroller. And Automotive as well, represents 1/3 of the working progress of the capacity. So I would say, with 8 inch capacity, we see mainly the [indiscernible] to standard microcontroller and [indiscernible]. While it's important to say as well that we operate through stong and deep cooperative technology R&D, and manufacturing partnership with key worldwide player like IBM, Samsung, both for technology and manufacturing; Leti, for innovation; but with UMC, GLOBALFOUNDRIES' and SMT's [ph], will be lateral agreements. So this cooperative and partnership in manufacturing is key to build flexibility both in R&D and in manufacturing as well. So Embedded Processing Solutions revenue were $3.27 billion in 2013, so it's 14.6% decrease compared to last year and mainly due to the wind-down of ST-Ericsson. So without this ST-Ericsson product, in fact, the growth was 3.4%, mainly related to the strong achievement of MMS, so plus 19.1% of revenue increase. In term of operating margin, so we are comfortable for a minus 12.2%. Of course, it's better compared to last year, so 23.1%, but again mainly due to the wind-down of ST-Ericsson and as, again, generated by microcontroller. Of course, this comeback to a sustainable profitability is my main focus and our main focus. We continue at ST. So we continue at ST to aggressively pursue our target to generate an operating income of 10% and, as Carlo said, by mid-2015. And I would like to caution today that driving EPS about 5%, we will relentlessly contribute to it. How? Of course, we will continue to control and decrease our operating expenses for SG&A and R&D toward the low model. We will continue to improve our manufacturing efficiency, and thanks to our partnerships. But the key success factor for EPS is a top line increase. And I am pleased to say that, and you will see later on in detail why, we will double by Q4 2015 the DCG revenue compared to today. And we consider today, in Q4 and Q1, we are on the bottom of this revenue, and we will do it particularly in 2 main ways. I'd have to say that, contributing to this, our technology platform we call FD-SOI is moving already from an opportunity, I mainly disclose with you and I share with you during various presentation since, let's say, many, many months and many years now, to a massive opportunity and revenue generator for 2015. Definitively, we are continuing to aggressively win market share in Microcontrollers toward worldwide leadership position, and I don't want to be shy to say, expected #2. We are executing our technology diversification and customer base expansion in Imaging in order to consolidate our revenue, on top of the costs we expect from RF, Silicon Photonics and optical IPs. So let's have a look more in detail now. DCG. I am accountable for 2013 year-over-year revenue decrease for DCG. Now this is mainly related to the fact that our legacy products addressing the standard-definition broadcast set-top box has decreased faster than were anticipated. Basically, we have charged during the second half of last year 10 million pieces late and facing a 20% aggressive price decrease. We have clearly lost market share, but one of the main reasons on top of that is the digital conversions have been put on hold in one major country of the Asian one where traditionally we were concentrated [ph]. We have already reacted. First, we have deployed and we are deploying our new product of 40 nanometer to address the standard-definition broadcast set-top box in order to regain market share we have lost with our legacy products, so this is 12 points [ph]. Then we have really take opportunity of resources coming from former ST-Ericsson company to revitalize our product portfolio, of course anticipating the transition to HEVC, so High Efficiency Video Coding; and Ultra High Definition 4K2K for 30 then 60 image per second refresh, in order to attack the market of client/server and Home Gateway. We have released as well the complete portfolio to attack the U.S. market cable. About digital ASIC. So we are now accelerating the development of our products on 32 nanometer, so ST has been one of the first adapter of the 32-nanometer high-K metal gate technology offered by Samsung, so now we are accelerating this product. And then we have targeted the consumer market for a ASIC, leveraging the differentiation factor we can leverage from our FD-SOI technology, and I will come back more in detail on that. So I am encouraged, let's say, actualizing the results of 2013, but looking at the potential, I am encouraged to highlight our core '13 efforts. And we understand achievements as key to our gauge to the DCG turnaround. So we see a strong traction and an early customer adoption of new clients and server and Home Gateway as well, following the IBC show and start-up launch of these programs. So we have multiple design wins, so about 5 now, including cable in U.S. and in Europe as well. Definitively, we have a very, very strong traction in our digital ASIC, FD-SOI bias. Okay, we have reconfirmed today. If you remember, we shared with you -- I shared with you something in the range of 6 to 9 wins at London last year. So now we have about 15, and we have plenty of opportunity in the pipe. We are really encouraged either with the number of opportunities, so 5 to 15, but looking at each opportunities, the size of the business we could generate from these opportunities. So of course, as you are already familiar with the digital, there is a lead time between the design win, the sampling to customer and then mass production start and revenue generation. Nevertheless, I really feel confident that, in decent market conditions, we will double our current revenue in DCG. So in 2 ways. So the first one will occur in midyear this year, so Q2, Q3. So first is the acceleration of the ASIC for communication infrastructure networking of 32 nanometer. Then, the deployment of the software-related products for, let's say, standard definition or full definition from broadcast set-top box. And then the second wave will enter in Q4 where we will have the first revenue generated by our client/server new ARM-based products on 28 nanometer processed at Samsung. And then we will start the mass production on 28 FD-SOI both in our fab of Crolles and in the measure of the sourced [ph] products. I would like to come back a few minutes and to share with you the reason why FD-SOI now is showing a stronger -- well received from our customers. First, if we start with infrastructure networking customer. So basically, our customer need key measure factors of merits in order to design their products. First, they need the best tradeoff between performance of the processor -- of the logic you have in your design and power consumption but also standby leakage. So this is point number one. And definitively, FD-SOI has been recognized as the best technology of course compared today, as opposed to technology, but as better -- and as equal or better than the FinFET technology. Then the second figure of merit which is key for the networking infrastructure is analog performance in order to design the most-performance high-speed interface like the service, which is crucial for this device. And here definitively, that's why it is better than Bulk but much better than the FinFET. Then the memory reliability. So if you want to do that -- ideally, this technology of FD-SOI has been developed for military application, for this reason, because of the huge reliability for memory. And here for networking equipment infrastructure, either you reduce the size and -- reduce the size of memory for cost savings or you choose a better reliability of your device, taking into account this figure of merits. So this is what the infrastructure networking customer loves. Then consumer. Of course, consumer also like this first figure of merit, so for those between performances and power consumption, but they like as well the leakage, the low, low, low leakage, of [indiscernible] duality in the system logic, which provides to you the best power balance in the mission profile of your system logics. The last but not the least is, this technology, also a huge flexibility in the usage. It means you can operate the transistor from your system logics at a very, very low voltage but delivering enough de-leaks to your system. And at very, very low voltage, basically, your power consumption is low. So you imagine that for mobile Internet of 6 applications, this feature is key. And the last but not the least is that, altogether, we repeat relatively and consistently, since 5 years, that this technology is really complementary to the FinFET one because, in term of designing ISPs, in term of process complexity, it's much, much simpler and well adequate to all the application I have shared with you. So let's move to the IBP product group now. So we have achieved in 2013 a 5.7% share of year-over-year revenue growth. So of course, we start to benefit from our product portfolio diversification and customer base expansion. So I would like to confirm as well that on top of Imaging, we are really leveraging the good partnership we have with optical ICs customers and the superior, proven technology we have in our end, so analog signal both on 8 inch and on 12 inch. And we are strengthening our efforts on RF-SOI and Silicon Photonics in order to anticipate the major industry move. So if I -- DCG -- share with you what I can highlight from our 2013 efforts in term of key milestone achievements but revenue booster as well, I can say that it include a good traction to new customer and application for Imaging, such as Automotive, where we have win both imaging sensor and imaging signal processor. We have offered during the course of 2013 an imaging signal processor both for an important phone maker but also for a very important consumer brand customer, and these must be consolidated in 2014. Now I confirm that also we have great expectation with our proximity sensor. And most probably, we will see very soon the mass production of our products in one leading phone OEM of our industry. So thanks to the acquisition of the higher speed links in the industry and the progressive transition of the Silicon Photonics for data aggregation, so we will generate more and more during the course of 2014 of revenues from these activities. On top of that, with the fact that the turn of the LTE, the RF-SOI [indiscernible] will increase a lot. And we have this feedback from our customer that our technology -- our current technology figure of merit has a value proven superior to the competition. So we expect to capture revenue from this technology effort. Let's finish by the last product group, so the Microcontrollers. Now here the team is pleased that we -- the team is pleased to share with you we have achieved finally 2014 19.2% revenue increase, so first consolidating the 32-bit general-purpose MCU leadership and the Secure Element as well. So we are really preparing to sustain this growth and this leadership towards the #2 position, as I have shared with you, with our technology run mat [ph]. So we are developing a 40 nanometer technology run mat [ph] with new flash cell and offering the best figure of merit to both general-purpose microcontroller and secure micro. And mainly, the best figure in merit in term of ultra-low power performances, which is really key for all the application, like Internet of Things, or Secure Elements as well, while definitively, we remain solid worldwide leader in this forefront. And we have recently confirmed we have introduced a [indiscernible] control fully compliant with NFC standard. Similarly to the other product group in term of measured achievement and revenue booster, so we are confirming our leadership in 32-bit to where our market positioning was mainly on the mainstream with Cortex-M3 products, and now we are really expanding on the ultra-low power with the M0 [indiscernible] hub and the [indiscernible] with the EEPROM [indiscernible] hub, and which will provide the gateway MMS a really wide product portfolio to continue to serve on the already 60% growth achieved in 2013 versus 2012, to continue to serve for this growth for 2014. So as of -- let's say, the market's growth is more and more driven by mobility with Cortex-M's convenience but also the tremendous increase of security in the transaction. Our full solutions of embedded security with ST33 but also our Cortex-less [ph] platform ST31 will be the key booster for 2014 as well for this product group. So thanks -- because it's important for me to mention that thanks to the new low-end NFC platform tagging, we will reinforce our position in the Internet of Things market. So to conclude this presentation about Embedded Processing Solutions. First, we confirm that we will achieve about 5% operating income, contributing to the achievement of the model by ST. The key ingredients are, of course, improvement driver like the control, the reduction, the optimization of the [indiscernible] towards the operating expenses model; the efficiency of our supply chain, thanks to the cooperative R&D and partnership in manufacturing; with the revenue booster, revenue booster in 2014 based on serving -- pushing the product as a mass market, the ecosystem on the microcontroller, both general purpose and secure as well. Definitively, the deployment of the new product to regain the market share lost on the standard-definition broadcast set-top box but the next generation of the HEVC and ultra definition 4K2K with our standard [indiscernible] products, which are really outstanding products also in the market now. And I think we will accelerate what we have anticipated on 32 nanometer. And really fast, we will hope that, by end of 2014, the mass production in term of future stock for FD-SOI in order to generate early in 2015 additional products. Well, definitively, the diversification we have engaged on Imaging will consolidate our revenue. And from our technology and capabilities in IPs, we will grow our revenue on analog mixed signal and Silicon Photonics. So this concludes my presentation. Thank you for your attention.
Georges Penalver: Thank you, Jean-Marc. Good morning, ladies and gentlemen. I will now go in more in detail on Sense & Power and Automotive segment. I will cover the focus of the product groups in terms of markets, products, R&D efforts and key programs and how all of that will contribute to our company strategy and to the reach of our financial model target. So let's start with -- so the overview of SP&A. So the total revenue in 2013 was 3 -- $4.78 billion, up to 3.3% compared to last year, pretty well balanced across the 3 segments, the 3 product groups: Analog, MEMS and Sensors for 28 -- 27% of the revenue; Automotive product group, 35%; and Industrial & Power Discrete group with 38%. Since December 2012, with the new organization, we have aligned our front-end manufacturing capacity and the sites more closely to the segment of the company. There are 4 front-end sites attached to Sense & Power and Automotive. It's Agrate and Catania in Italy, 2 in France and our fab in Singapore. And they focus on technology R&D and manufacturing for analog, power and MEMS technology. In the SP&A segment, the focus is now bringing on these solid and profitable businesses -- on bringing these solid and profitable businesses to the next level in terms of market share, in terms of profitability and in terms of growth. First of all, each group enjoys well-positioned in the markets, with, for example, Automotive with the semiconductor content increasing; sensor adoption, the pervasion of the sensors in many, many domains like wearables and mobile obviously; and the anticipated global macro economy improvement that will help all the segments and especially the industrial part and the housing products. From a product standpoint, we will benefit from the recent innovation effort especially in -- made in our IPD technology and the expansion of our [indiscernible] for power management portfolio. We plan to consolidate our position in MEMS and sensors by expanding beyond motion sensors and a focus on smart sensor and of smart sensor solutions. In Automotive, we will continue to leverage our strong position, broad-based portfolio and pipeline of design wins. Globally, we will also want to pursue our effort in mass market and distribution, expanding our customer base. And from a margin perspective, SP&A will fully enjoy the impact of 2 manufacturing efficiency improvement programs where we are converting the capacity from 6 inch to 8 inch in Catania and in Singapore, as well as the consolidation of the back-end facility in China. Now let's have a look by product groups. Here is another view of Analog, MEMS and Sensors, AMS. The revenues were $1.3 billion in 2013, down 1% year-on-year. The MEMS went flattish coming after an already-strong year in 2012. And also, MEMS and the IMS has been a division particularly impacted in terms of revenue in 2013 by the product-pruning efforts on low-margin products within its General Purpose and Analog business, but this is for good reasons and we see that we can now afford this type of effort. For several years, the product strategy has been clearly established and executed, expanding the product portfolio to new sensors beyond the motion MEMS. We are now able to offer 4 category of sensors: motion MEMS, acoustic MEMS, environmental and touch sensors, and without forgetting that IMS also contain our general-purpose analog offer and micro-actuators. So the strategy is clearly to leverage our leadership position to take advantage of increasing sensor pervasion and the market move which is more particularly driven by mobile application, wearable devices and also now the Internet of Things. And the particular area of focus in this strategy is to offer a complete smart sensor app and solutions combining sensors with microcontrollers, connectivity and power management. We did several steps executing along the strategy in 2013. We have consolidated our leading position in motion MEMS, with wins at top phone OEMs and in wearable. We have also recorded services in our new sensors offer. We have shipped more than 100 million units MEMS microphones and multiplying our revenue by 4. We had several wins for environmental sensors. We started shipping a new touchscreen controller to a large Asian consumer OEM. And we have taken our highly integrated smart sensor system iNEMO into high-volume production. At the same time, we have maintained innovation across the existing product portfolio. For example, we have launched a new family of Android KitKat 6-axis motion smart sensor. We have also shipped the world's smallest and lowest-power 6-axis compass. And we have executed on our customer base expansion initiative, for example, doubling sales with Chinese smartphone OEMs. And finally, from second quarter last year, we were in a position to dedicate specific effort to prune our mature business in these product groups to significantly improve the profitability in this area. So what are the revenue boosters for AMS in 2014? Growing the new products: single-membrane microphone, high-accuracy pressure sensors, touchscreen controllers, gyroscopes for optical image stabilization. We will continue to diversify in MEMS and ramp in Automotive wins. We'll also have a major mass market initiative and to -- for general-purpose analog lens and -- okay, and ramping production on low-power small 6-axis family for mobile and wearable devices. So let's have a look now at the Industrial & Power Discrete group, with the revenues were $1.8 billion in 2013, representing 22% of the company, with a growth of 3.1% year-on-year, and this despite the challenging macroeconomic condition which particularly affected the mass market and distribution part of the business. Our product portfolio here is focused on Power, Smart Power and analog ICs for a wide range of applications for industrial and consumer products. R&D efforts are dedicated mainly to industrial and portable applications. And our strategy in IPD is to drive revenue growth and profitability through a balanced presence in OEM and distribution. In 2013, we have continued our course of production innovation. For example, we launched the world's first intelligent gateway System-on-Chip for metering embedding Powerline modem, metrology and diagnostics. We introduced a best-in-class 600-volt IGBT and high-performance low-voltage advanced trench MOSFET. In 2013, we also enlarged our product portfolio to new power management IC family for battery management in mobile platform and handsets, thanks to resources we got from ST-Ericsson. And we also good -- got a good traction on recently launched products. We reinforced our leadership in AMOLED driver products. We had volume shipments of our tunable capacitors for 4G LTE devices to leading smartphone OEM manufacturers. And we expect items to translate in revenue boosters in 2014. First, overall macroeconomic improvement, in particular in industrial and housing, should help. Our dedicated regional marketing campaigns also gear -- is gearing towards distribution and mass-market. In terms of product, we expect to be able to leverage our recent investments, innovation for discrete in advanced high-voltage and low-voltage MOSFET; in Rectifiers, IGBT and Silicon Carbide Diodes and Transistors. And we'll ramp also the design wins collected in smartphone and tablets for Tunable Capacitors, RF Couplers, Baluns and Filters. And still, in smartphone and portable devices, we expect to maintain our leadership in AMOLED drivers, we have new generation of products. Let's turn down now to APG, Automotive Product Group. The Automotive has really -- this group has really been a bright spot in 2013. The only part of business which continued to enjoy favorable market conditions despite a softening in the second half. The revenue were $1.7 billion, up 7.3%, about 21% of total ST revenues. Our model portfolio covers 4 blocks; Infotainment, we have telematics and GPS and car infotainment; Body electronics, we have normal use, anti-theft, lighting, wipers, et cetera; Safety, braking, vehicle steering, airbags, active safety; and Powertrain with the engine control and the transmission itself. Our strong position and product portfolio allow us to benefit from increasing semiconductor content in cars. This favorable trend in several years now are still going up. Short term, the key drivers are the evolving market requirements in the areas of fuel efficiency and active safety. Our areas of focus are more here, particularly smart power, active safety and positioning products, infotainment, and on expanding our successful family, 32-bit Power architecture microcontrollers for Automotive. As I said earlier, APG enjoyed a strong growth in 2013 and this was across all applications. The 32-bit family contributed strongly with over $100 million in revenue. We have now collected more than 2.5 billion design wins, which will enable us to continue to grow this business strongly. We have doubled our -- we have a double-digit growth in smart power products, and we confirm our leadership in this category of products with our latest 110 nanometers BCD9S process. We also achieved major growth in active safety with radar and vision-based products. In infotainment, we collected important wins in telematics and navigation, moving from low-cost PND application to key in vehicle to choose. And announced, our latest generation of industry-leading multi-constellation satellite positioning chips. Also, it is worth noticing that sales initiatives to broaden our customer base that's paid off with 25% of APG sales, now done through distribution. We expect APG growth in 2013 to be, particularly supported by the following elements: continuing to gain market share in 32-bit microcontrollers and doubling the revenues, continuing much major effort on enlarging customer base in distribution and mass-market to increased capability to support the full system development in Automotive. Ramping products in new, leading-edge technologies with embedded flash on 300-millimeter and smart power, and focusing on high-margin products; infotainment, active safety and positioning systems. To summarize, again, the Sense & Power and Automotive segment is already solid and should be able to convert a number of opportunities to get to the next level in terms of market share, growth and profitability again. Fourth quarter net revenue were $1,233 million in Q4, an increase of 4.2% compared to the quarter -- the same quarter last year, driven by APG and IPD mostly. Operating margin was 7.7% in 2013 fourth quarter compared to 6.2% in Q3 sequentially, and increased principally by the product mix improvement. As already discussed, our main revenue boosters in 2014 for SP&A are expected to be the MEMS and sensors, new products, high-performance microphone, single-chip, gyroscope for optical image stabilization, 32-bit microcontrollers for automotive, power and smart power for industrial and automotive customers. Overall, the microeconomic improvement also in the housing and industrial markets, and our effort that we are developing in distribution and mass-market to enlarge the customer base. Together with this growth, favorable elements should add to improve our margin, the result in product mix improvements, the optimization of the fab loading, the various customer base expansion initiatives, and improved manufacturing efficiency and flexibility resulting from current manufacturing programs. The contribution of each group should lead to segments to reach an operating margin mid-term between 10% to 15%. Thank you, and I now turn the stage to our President and CEO, Carlo Bozotti.
Carlo Bozotti: Well, I think, I don't need this at this time. Well, first of all, thank you, and thank you again for attending our meeting here today. And good afternoon, everybody. I think, it is afternoon now. And I think, this is a very good moment to tell you, where we are. And in fact, we are in the middle of our start to the financial model and the new strategy that we have defined 1 year ago. This is the first Nokia, this is the first ST-Ericsson phase. The weight of, of course, the former major customer initiatives have gone away, it was almost 20% and now is down to fewer percentage points. We started 1 year ago. And what I want to do, of course, is -- there is -- for me is a really to summarize what has been said so far and also to make sure, we underline, the priorities for 2014 and what we want to achieve this year. So if we start from 2013, there are many things that we have done properly, and that I believe, at least my assessment is that they have worked well or pretty well. There are a few things that have not worked out the way we expected. So let's go through. I think, the breakout for ST-Ericsson was executed very well, timely, with also a cash cost that was, overall, below what we expected at the beginning of last year. And we also exploited the breakup to reinforce, thanks to important competencies coming from ST-Ericsson, a number of product in the activities in ST. Then, I think, we successfully managed, well it was, of course, mostly due to ST-Ericsson, but not exclusively due to ST-Ericsson, to reduce our operating expenses by about 20%, that, of course, is a very significant number. And we are talking about a reduction of about $220 million, Q4 2013 over Q4 of 2012. As a consequence, if we look at the operating income before impairment and restructuring, we turn back to some initial profit in Q3 2013, and more thanks to, let's say, one-off initiatives and the more structural -- structurally in Q4 last year. So it's initial small profit, but I think, it's important to compare the situation of Q4 2013. We thought, we had 1 year earlier in Q4 2012. So we moved from -- and then reporting this so-called operating income as attributable because if you look at as reported, it will be much better, but unfair because, of course, in the P&L, when we had the joint venture with Ericsson, there was also a minority line, let's say, that this -- that was positive for ST. So I am reporting, just the attributable that is really comparing apples with apples. So we went from a negative of $66 million in Q4 2012 to a small profit last year, plus $18 million. And even more, if you start from Q1 2015, Q1 last year, where our attributable operating loss was $100 million. So in 1 year, we moved from a loss of $100 million in Q1 to a small gain of $18 million. And of course, you know that this is not enough. And we also turned to a positive cash flow at the end of last year, with, as we said, with $91 million of a positive cash flow. We kept during this difficult pace that was for us to absorb the major decline of the revenues in Nokia, in ST-Ericsson and the initiative. But as everybody else, also through the various phases of the crisis, so we managed to protect our net financial position. We have a net financial position of about $740 million, after the distribution of $0.40 per share of dividend, that we are absolutely flat during this difficult years and after having invested about $530 million in manufacturing -- innovation and manufacturing capacity. We saw the important structural changes also in the manufacturing footprint with the program to close 2 additional 6-inch fabs, 1 in Europe and 1 in Singapore, and to grow in the 2 sides these activities, and at the same time, to consolidate all the back end activities that we had in China our site of Shenzhen. Very importantly, we also managed to grow more than the market. Our growth, as we said at the beginning of the meeting today, was 3.2% on the core business. Clearly, better in the market, we have a very full report and how I mean that at least through November, but of course, nothing will change adding 1 month. We have from WSTS, the market that we serve declined by 1.7% and we managed to grow 3.2%. Now we see that on most of the product lines that we have. In fact, out of that product groups that we have, only DCG lost market share, and the major gain clearly was in our MMS Group, particularly on microcontroller. There were also things that did not work out the way we wanted. The first that, of course, is very, very material is, indeed, we gained market share, but the topline evolution was not what we had expected. At the beginning of 2013, we had forecast from WSTS calling for an increase of the market that we serve, again, 5%, 4.6%, and this did not materialize. In fact, as I just said, the market declined by 1.7%. So but no matter what we are below the expected level of revenues in the second part, particularly in Q4 last year. Also, we did not expect such, I would say, a rapid decline of the legacy products in DCG. This is clearly a concern, last year, was a major concern. The decline is on all products. This is on products that are mature, and products that are typically for the Asian market, but not exclusively, but mostly for the Asia market. And I believe that we are now at the bottom, and I will elaborate more in few seconds on what I see and what is my assessment today of the situation in DCG. Now if we move on to 2014, I would like to start from bookings. When we met 3 months ago, we had experienced a lower level of bookings during the course of Q3. Bookings in Q3 was reduced, particularly in Asia and particularly in the mass market and in the distribution in Asia. And our Asian distributors, they had important concerns and they, in fact, at the end of Q3, during the second part of Q3, they projected a decline in Q4, and this was, I think, of course, one important data point for us. I think, we managed to keep the inventory distribution under control, but anyhow, they get a negative view at the end of Q3. I think, the negative view was mostly related to concerns on access to credit in China, particularly for the small- and medium-sized enterprises. And if I look at the result, I have to say that this concern has gone away. And first of all, in all the regions where we operate, that few has the point of sales of our distributors. It's a record high in Q4. And the bookings in Asia restarted pretty strongly in the mass market and particularly in distribution. Overall, in Q4, our bookings increased compared by Q3 by 20%. So this is sequentially Q4 over Q3, so it was a strong improvement in the booking trends. And there are areas, where the bookings was really good, like, as we just mentioned, the mass market in distribution everywhere in the course of Q4, with it supported by a good POS, not what we bill, but what our distributors bill, and also was pretty good in Automotive, again, across all the regions on a wide range of products. On the other hand, we saw some -- and this not new, also some flatting and some evolution that is not positive in this front, particularly when moving from the first -- from the last quarter of last year to the first quarter of this year. So we are more encouraged overall by the bookings -- by the global booking situation and by -- particularly by the situation in Asia. Now if we look at the market projection for this year, I think, we mentioned this number, 4.2%, of course, it's not coming from ST, and this number is coming, again, from market research institutions, particularly the WSTS. But I think, it represents pretty well the consensus. If we put all together, they takes a big average. And it is a number that frankly, we had also more or less 1 year ago, I think, I am confident that this time is better supported by fundamentals at the macroeconomic level. So I mean, recently, for instance, the IMS, they have increased their view in terms of GDP growth, the global GDP growth in the world, giving now figure that is about -- in fact, it's above 3.5%, it's 3.7%. So I think, hopefully, the market that we saw that we'll be back to some material growth after 3 years of small decline or some decline, and the -- supported by an overall improvement at the macroeconomic level. Well, in this context, of course, we want to gain market share. I mean I -- we had some gain last year, we want to continue. My colleagues, they have described in the underlying, what are the key growth drivers for this year, and I would not -- I do not want to repeat and I do not want discuss we got too much in details. But I would like to mention 2 families that are really very, very instrumental, and of course, I would like to start from DCG. As I said, in DCG, we have experienced a severe reduction of the sales during the course of last year and this is again on mature products. It's mostly even, if not exclusively in Asia. And last year, it was an important, was a very critical from this point of view, but very important in terms of innovation. As you may know, as some of you may know, we had started a significant change in our set-top box and the Home Gateway products, moving into ARM. So the first device was introduced, and this is an initial step, but important, because we had to work for 2, 3 years on the move to ARM for our set-top box products. And I believe we have anticipated to the markets in this move into ARM. One of these product, that is first generation of the product is the early one is in production, for instance, in Japan. We expect to see the volume to grow significantly in Japan on this product. And this is for fiber-to-the-home, i.e. is in production, it has been selected by NTT and we can say it is in production, and of course, there is a couple -- there are a couple of box makers; they have got the Japanese makers to support NTT in terms of production. And I personally attended the same 1:45:15 or I mean, let's say, it's really exciting for consumer, what you can do with this machine. More importantly, in September, we have launched, our new families at the IBC in Amsterdam. So this is the Cannes family, this is the Monaco family. And I saw initially a lot of traction and this was, of course, in September and October with major operators. But more importantly, we have now major wins. We have major wins with you can call the biggest and the best operators in the world. We have the major -- we have major wins both in terms of cable applications and in terms of satellite applications. So of course, this is encouraging because, we are talking also about high end here, we are talking about products that could be in high volume, starting in the second part of this year and then growing in 2015. The effort with the operators is continuing. Of course, we are also working with the box makers and our direct customers, but we have a very strong specific effort with all leading operators to promote our newer technologies that, as I said, is not only based on ARM, so it's more open platform that is capable for ARM applications for the 4K for the most advanced transmission and recording standards, the H.265, and with a very good quality in terms of image -- image quality. At the same time, as on DCG, basically, we have 2 divisions -- 2 product divisions. One is the set-top box, the other one is ASICs. At the same time, we have transformed -- I believe, I can say now, we have transformed the FD-SOI opportunities into real wins for very high-volume applications. It's a high-end application, but it's consumer application. So it's high end, but it's also high-volume. And many, many of these things will hit the markets in 2015. And here, what is great, of course, is the combination of high-volume products, and therefore, high-priced products, and at the same time, high-volume or very high-volume. Of course, we cannot manufacture all of these products and we do not want to manufacture all of these products in ST. We want to make sure that we have a controlled effort in capital investment. So -- and we are very confident that if prestigious [indiscernible] will be running by the end of 2014. Now it was tough this year. I think, the bottom is now. I believe it is a major transition in terms of technology products, moving earlier to ARM, the introduction of FD-SOI, but now, I'm not talking any longer about opportunities, I'm talking about major wins, and they are all major customers, either direct customers or operators. I wanted to go on details of this because, of course, this is very crucial for ST and very crucial to make sure we timely meet the financial model of the company. I would like to spend a few seconds also on another line, where the results are already there. And but still, we can grow from there. And that this other line is Microcontrollers. And we have a various flavors of microcontrollers. I think, we have microcontrollers for Automotive. We have microcontrollers for the general-purpose applications, of course, for the mass-market, our distributors, and we have microcontrollers also for secure applications. I think we have done pretty well in the 3 areas. For instance, in the Automotive last year, we doubled the business. These are the new designs that we had, with the Power architecture for microcontrollers. It was an initial year, we were well tolerated on the size of the award that we have, $2.5 billion of award, but we plan to double again this year. In the General Purpose microcontrollers, we grew 60%, with our STM32, that is the first mass-market product, again, based on ARM. For the first time in Q4, we have exceeded $100 million. And the overall, in the 32-bit MMS Group, apart APG, that I already mentioned, last year, we have exceeded $600 million in 32-bit microcontrollers, either general-purpose or secure. And I mentioned microcontrollers because it is also one line that is very crucial, very critical for our success in the mass-market. You can -- of course, we are working with all the major distributors in the world, in the U.S. -- well either American or Asian, but -- and they were shortlisted in the presentation of Carlo earlier in the morning. And you can visit them; everybody will tell you about our STM32. Even at the maximum level in the company, they know this product. It is a very successful family. We have build out a very strong ecosystem. And now, what we want to do, of course, is to make sure that we exploit the strength that we are in distribution and the mass-market from the microcontroller to guarantee that we can sell a chipset around the microcontroller, also supporting our customers in terms of application, reference, design and application for us. So now, the top line is fundamental in our recovery, and this fundamental not only for the leverage in general, but also because this will allow us to drive better the loading in our manufacturing facilities, particularly in front end. Carlo Ferro earlier said that there are other key ingredients in the gross margin improvement. Of course, the mix -- the product mix, including the pruning of certain low volume, low-margin products, but clearly, loading is important. And we are driving the top line also to improve our gross margin, together with the mix improvement initiatives and the fab restructuring initiative, as I just mentioned before. Before I go to the financial model and that before I personally for the management team here and for the company, we confirm our commitment. We have done many steps last year. Many more things must be done this year to get there during 2015. I want to mention expenses. It's not very a glamorous, but I think, it's important. Last year, we managed to drive down expenses, Q4-over-Q4, by 20%, as I said, $220 million. We were just in the range that we gave, the net expenses were $247 million. This is in the range. But clearly, it is not what we want to do. We want to be at the lower level of this range, also taking into consideration that in terms of top line, we are below what we expected. And we are driving this program, that is a very important program in the company to work with the level of net operating expenses that are in the lower part of the range. And this also thanks through contribution of the grants that we expect from the contract that we have with the French government to the so-called Nano2017 frame agreement, where we are now waiting for the European Union clearance because, indeed, we have signed the last year, the agreement with the French government, and we expect that this agreement will come during the course of the first quarter. So additional measures in controlling our gross expenses and the contribution of this new wave of grants, it's called Nano2017, we will drive our net operating expenses in the lower, lower end of the range that we had given. So finally, I want to conclude, reconfirming my personal commitment, but also the commitment of the management team, therefore, the commitment of the company to drive ST into this new phase that, as I said, is the post-ST-Ericsson phase, and to make sure that we get into our 10% profitability model by mid of 2015. So I would conclude here. Thank you, again, for your interest, for your participation today. And of course, we are now available to respond to any of your questions. Thank you.
Tait Sorensen: So we'll have our speakers come up and take a seat, and we'll open up the floor. We should have some microphones roving around for the benefit of those on the audio webcast. So do we have any first questions? Let's go to Dan right there, the gentleman.
Dan Gardiner - Arete Research Services LLP: A couple of questions about EPS. You talked about hitting a 5% margin target. Can you tell me what sort of revenue base you think you need to get with an EPS to get there? Does the $150 million or the doubling of DCG, does that -- a load? [ph] Or given that's relatively low margin business, do you need incremental revenue? And the second question beyond FD-SOI, can you indicate what sort of level of FD-SOI revenue you're expecting by 2015, and can you confirm that there will be a second source for manufacturing that at that point?
Unknown Executive: So. I'll answer the -- immediately the last question. So we will announce primary [ph] I expect in the course of Q1 as the name of the civil source. I cannot today. Now you know that PPT [ph] I already announced 1 year ago that we have a license agreement with GLOBALFOUNDRY. But this license agreement is not exclusive, and I can't simply confirm to you that today, we will have a second source open offering the FD-SOI for all needs but also for the competition. And we will handle key [ph] I expect in the course of Q1. Then into '15, difficult to disclose, let's say, exact number about the FD-SOI revenue. This is clear that all, let's say, the additional billing doubling the chart for the new -- our strategy will come equally from the new client server device. We will go starting Q4 and the big volume from the ASIC for the consumer market. So the cycle will double. Our revenue would be mainly related to the supposed activities.
Unknown Analyst: [indiscernible]
Carlo Bozotti: It's very material, so we're talking about, as I said very high ISP and also very high volume, and we expect very material sales, tens of millions of dollars per quarter in the second part of 2015. So very material for the company.
Tait Sorensen: We'll move to, I think Andrew -- one -- I'm sorry.
Unknown Executive: The question, with all this growth -- in fact you should have seen the number of today. So the step #1 is to come back to a portfolio of [ph] revenue at $800 million per quarter without the former ST legacy product. So starting this point, moving to $850 million, $900 million, we will have the 5% operating income.
Tait Sorensen: Okay. We'll move to this gentleman right here, Andrew.
Andrew M. Gardiner - Barclays Capital, Research Division: Andrew Gardiner from Barclays. Just a question on your comment color on the bookings. You mentioned in the fourth quarter that you've seen it pickup materially, 20% sequentially. And just relative to then how you're seeing the first quarter play out, clearly we've got a -- you've got a sequential revenue decline. I'm just wondering about sort of the duration or the extent of your visibility into the bookings now at the third quarter results, you were also saying that it was not only with bookings weak, but you had relatively limited ability time wise. It seems as though that's improved, and I'm just wondering so how you're expecting a ramp through the year, it seems that you suggest a very big pickup from the second quarter onwards?
Carlo Bozotti: Well, I think very, very important part of the decline in Q1 of course is the Ericsson, and because they were obvious master for this time. So now of course, this is negative. These are also products with very low gross margin as we have discussed in the past. But the major contribution is really this time, very significant decline of ST Ericsson. Now on the bookings, I think I reported the number. The number is 20% up. I can also report that today is continuing in the first weeks of January, and it's continuing particularly in areas like industrial, the mass market, the distribution, it's continuing in the automotive. And it's across the board. I think the concern that our distributors had during the course of Q3, in Asia, did not materialize. So their concern was "my POS will go down in Q4. Therefore, I need to stop buying, because I do not want to build up inventory." This did not happen because our POS in Q4 was recognized also in Asia, so they sold a lot of our products. An area that is more critical is the smartphones. I think there is a significant reduction in the volume in the Q1. So, of course, we need to make sure that we are not overoptimistic, and I really believe that it's important that we drive expenses much closer to $600 million rather than $650 million. But we are more encouraged by the booking trends that we have seen in Q4, what we are experiencing on the mass market and in the automotive today, and also by the forecast of the market, because now it's 3 years that the market is flattish, even declining, the market that we serve. But this, as I said before, I am more confident that this forecast, this is coming from market research institutions, this time is better supported by fundamentals, by the evolution of the GDP, the global evolution in the GDP in the world. For instance, recently I believe that the IMS has increased their forecast for the global GDP in the world, up to 3.7%. So I think we need to be careful. I would -- we would drive expenses down. This is of course not easy, but we want to do that. Of course we need to make sure that we get this European Union clearance on the grants they are confident and driving expenses, but we are also a little bit more encouraged by the booking situation.
Andrew M. Gardiner - Barclays Capital, Research Division: Just a quick additional one, if I may. So during the second half, you guys had mentioned increasing competition within the MEMS market. That wasn't something you highlighted this morning, I'm just wondering if -- that there is any update on the sort of -- the state of play in that part of the market?
Carlo Bozotti: Well, there is increased competition and the way to respond is diversification. I mean we cannot -- there is increased competition even if Q4 was pretty good in terms of results on MEMS for ST. I think there is increased competition. The increased competition is more concentrated on certain products. We want to become broader. I think the effort that we've been trying to do is to be successful with -- for instance I'm going to make [ph] MEMS to be successful with the microphone MEMS. But those -- certainly to be successful with the touch -- with the touch of sensor. So this is with innovative hovering function, and to be successful outside the smartphones. To work more in the automotive, it takes time. So I think it's clearly, let's say, an area where we are driving diversification very strongly. We believe, we think that Wireless and smartphones is important, but we do not want to be over-dependent on the smartphones, particularly on very few customers. And today, we are at the global customer level, a situation that is more balanced compared to what we are in the past in Q4. Even with the legacy products of ST-Ericsson, no customers exceeded 10%. Of course, with the reduction of ST-Ericsson, this would be even more true. And what is important for us is the diversification of the customer base, the big effort in the mass market, and in the case of MEMS, to make sure that we succeed with the new families, the new products, with the automotive, with the wearable and not only with few smartphone players.
Amit B. Harchandani - Citigroup Inc, Research Division: Amit Harchandani from Citigroup. A couple if I may. My first question revolves around the growth forecast that you talked about for this year. I believe it was something like 4.2% year-over-year for your addressable market. Last year, you seem to have outperformed your addressable market by close to 500 basis points. Looking forward to this year, are you realistically confident of at least doing 300 to 400 market share gains in addition to the growth of the market?
Carlo Bozotti: I cannot say. This would be too aggressive. Of course, we have our own ambitions, but we also have competitors. I think last year, we managed to grow. Our strong ambition is to make sure that we do better than the market. We had defined the model. The model that we had defined just 1 year ago when we described our new strategy is that on the period, we wanted to grow 50% higher than the market. This was our model. So if the market that we serve, as you know is about 50% of the semiconductor market. Now, we said before, $139 billion is about 1 half of the semiconductor market. Well, 1 year ago, when we gave our model, we said that this market is a market that will grow between 4% and 4.5%. And in this frame, we want to grow 50% faster than the market. And I reconfirm, of course, our ambition.
Amit B. Harchandani - Citigroup Inc, Research Division: Okay. And the second one, if I may, with respect to your capital spending this year, could you maybe just give us some color in terms of how you plan to spend the money on CapEx this year? What would be the key items on the agenda?
Georges Penalver: Well, these will be -- capital spending in 2014 would be around a combination of mixed technology improvement at the values set[ph], we have for instance, also indicated full [ph] 300 and moving and that [indiscernible] and -- but the Non-volatile Technology Group. And some increase in capacity that would be managed as usual and modulated based on demand. Of course, another important driver of capital spending is the continued effort on technology innovation. So the evolution from the 28-nanometer to also the 40-nanometer in Crolles 300 research and development. The fab [ph] evolution from 6 to 8-inch both in Singapore and in Catania will call for capital expenditure moderated depending on demand for this product [indiscernible] in there. So where we plan a substantial growth in almost all the product groups. So you may expect that also if that means that in some of the assembly, but more importantly, in testing and the probing is an another important part of our capital expenditure.
Stephane Houri - Natixis S.A., Research Division: Stephane Houri from Natixis. One question coming back on this issue because you've talked about doubling the revenues but what about the profit? Because when you target 5% of margin EPS, with microcontrollers about 10 something, does it mean that you're targeting 0 basically then with the doubling of the revenues in DCG? That's the first question.
Carlo Ferro: No, frankly. I believe that we are not here in the end [ph] to deploy the model group by group. We deploy it segment by segment. It's not for deploying group by group or the next step, by division by division, right? It's different. Whether I believe the key message you may have captured is that at the end, we have a target objective for the total company in mid-2015, about 10% of operating margin. This encompasses the SD [ph] and [indiscernible] group between 10% to 15% and EPS at the value of about 5%. I have also added a point including the Microcontrollers business running at operating margin in the teens, and of course we want to keep this level of profitability in Microcontrollers then at the end, the mass will suggest you how to mould it. The reality is that at the end, the objective is to continue to improve in digital consumer to generate the profit in digital consumer to the full level of profitability in digital consumer. The one that the group could exploit with the potential of the product is required by mid-2015 to make about 10%, you make the math and you may understand that was important and they will well progress, move on up, but not necessarily fully exploit the potential profitability of the business.
Stephane Houri - Natixis S.A., Research Division: And maybe also the point is that it might be -- 2 questions I'm trying to ask -- 5% for EPS if you target to improve your profitability, this is what I meant by the way. And the second question would be on MEMS. Clearly, I would like to understand if you are targeting growth this year in the MEMS business and if we are going to see some search results of the diversification in this business this year?
Carlo Bozotti: I think yes, of course we are targeting growth. I think what's important for us, of course, is [indiscernible] market share in AMS, we're also pruning products. Last year, we started. We will continue this year. There is some pruning that we are running in the company. There is a special initiatives that is an important initiative of the companies on pruning, and a group that is very much impacted is AMS with certain all products and, for instance, I think in the chart before, we mentioned the standard logic products. So there is a level of prunings. But indeed, we are targeting growth and what we want to do is to make sure that we diversify more. And this is normal. I mean very a good example of this diversification is what we have in the outer market, it's pretty broad and we want to make sure we follow the same approach. But yes, indeed, we are targeting growth.
Unknown Analyst: I have 2 questions. The first, what will be the normalized tax rate for ST marketing [ph] and if there are some one-off, positive and negative for this year, 2014? My second question regards to the ST-Ericsson legacy products. Do you plan to make some write-offs that could have a positive impact on gross margin from some [ph]?
Carlo Ferro: I take the question on tax, and I want also to thank you for the questions you still believe may help to guide on somehow improving and modeling our tax, recognizing that 2013 has been, in this respect, a bit bumping year. Now, we have a lot of one-time and different implication, and in the last 3 years, these bifurcation of the feasibility between ST and ST-Ericsson part did not add that we see model. Here, I would suggest a rule of thumb, but then, cannot guarantee would be exactly the reported number, but this is 1 issue we feel that we do adopt [ph]. It's certainly to model facts when planning. There are an amount of corporate income tax that are substantially respective to the level of profit before tax. Thanks to tax legislations in Europe where at the end, you may pay tax on added value in a number of countries to whom we are significantly exposed. And this isn't about a $7 million charge per quarter. Then if you add the usual effective tax rate of the company between 12% to 15% to the profit before tax, you are modeling minus or the 7% [ph] of tax expenses or plus 7% of tax expenses for the 6th [ph] start, you get a number. This is the way we do model externally, and I'm not going to show you the model.
Unknown Analyst: [indiscernible]?
Carlo Bozotti: Yes, the indirect taxes about $7 million a quarter. And there is, of course, there is tax on the profit that is between $15 million and $20 million, Carlo, overall?
Carlo Ferro: Now, I want to recommended is $7 million per quarter plus 12% to 15% of the PBT. And then depending on the level of profit, you may fall into this. So this is the model -- I think it's important to verify this because of course, we're getting [indiscernible] now the longer I talk, I think you can.
Unknown Executive: But first, of all, really I believe the company is making very good progress on the fundamental. These are then and what is the sound way of turning around. It's not a matter of writing off assets. At the end, those assets of the company that are no longer instrumental like those related to the further restructuring plans or to the plant restructuring plan in the kind of former ST-Ericsson assets, those have been well realigned to the third market value already now are booked.
Tait Sorensen: Thank you, Giuseppe. Let's move right up with these 2 gentleman.
Unknown Analyst: [indiscernible]
Carlo Bozotti: [indiscernible] There's lot of opportunities. For instance in the area of province that is an area that's still an opportunity for the company. I'm talking about ST-Ericsson.
Carlo Ferro: Thank you for the question. So I guess then, on this point, I need to mention that essentially, today ST-Ericsson remain only very limited list of tangible assets, and all the patent portfolio of the company that are over 1,000 patent family. And together with Ericsson, we have started a process to sell the patents to third party. And this is an opportunity that when and if materializing would, of course, substantially mitigate and very substantially mitigate, even the remaining tens of million dollars of cash need to the final wind-down of the joint venture.
Unknown Analyst: [indiscernible] You didn't mention Nokia this year. Does that mean that the business with Nokia is growing better than last year? What proportion for relatively known current events and what do you think was the take out of [indiscernible] of Nokia by Microsoft we do see a risk here?
Carlo Bozotti: Well, I didn't catch the second part of the question. So if we start from -- yes, the first part of the question. I think we did mention Nokia. I mean, of course we cannot release the sales figures I agree, because we have an obligation to release the sales figures for any customer that is above 10% of the company. And today we do not have any customers that is above 10%, but we did mention -- Carlo said that Nokia today represents 2 percentage points. So of course, this is an important customers so we want to work with all the important customers that we have or that we may have in the future, but it's very, very far from a level that we had in the recent past. And also it's very, very far from the level of the forecast that we had in the very recent past. So then the comment on the quality of the smartphones, frankly, we are here to contribute with our technology. I think in the smartphones today we do not have the application processor any longer as a stand-alone offer. We do not have the model, clearly. But we have a lot of peripheral products from power management to the AMOLED drivers, to the MEMS, the proximity sensors, the tunable antenna, the SKU [ph] microcontrollers, the SKU seamless [ph], the microcontrollers for the fusion hard. There are plenty, plenty of products that are around the digital core, and we believe we can contribute to, of course, the Lumia and the Microsoft operating system, but in the same way we can contribute to Android or other proprietary.
Unknown Analyst: The second part of the question, what do you think about the takeover by Microsoft of the mobile phone of Nokia? Is it an opportunity for you, or the risk?
Carlo Bozotti: Well, I think, again, I cannot comment. These are important customers because also, Microsoft is an important customer for ST, not only Nokia. Nokia, of course, is part of our initial major accounts. But we also have established a number of new major accounts that we are focusing on, and Microsoft is one of the important customers for ST. And of course, our hope is that through the combination, they could sell more hardware business, smartphones or tablets, because, of course, we believe we can contribute to the product portfolio, even with the peripherals that we have. By the way, this product portfolio is also the product portfolio that could really contribute to improve the interface between the man and the machine because many, many of these things, like for instance, the touch, with the new touch solution that we have is really the way you interface with a smartphone.
Unknown Analyst: Three short questions, if I might. One, if you can refresh us with the foreign exchange rate embedded in your tentative [ph] guidance. Second, you called a low point for Q1 and revenue wise, that means you are expecting quarter-on-quarter sequential revenue growth throughout the rest of '14? Q2 higher than Q1, Q3's higher than Q2 et cetera? That's the second question. And the third question, on microcontrollers, codes are available to license from ARM to anybody. So what is the differentiation for microcontrollers? Is it memory? Is it -- because you highlighted Flash several times or is it something else?
Carlo Bozotti: Well, maybe -- I think is, on microcontrollers, I think is a number of important things. Clearly, ARM is available to everybody. However, we have started earlier. And this is important not only because we started earlier on the physical products, but because we have exploited this time, this timeframe to build up an ecosystem on microcontrollers. And the ecosystem, of course, is the product, the ecosystem is 1, 2, 3, 4 type, of course, because we have a variety, of course, from very low power to very high-performance. The peripherals that we have, including the Analog peripherals. But it is also a major, major effort on the web that we have with our microcontrollers with a lot of information concerning applications, for instance, but also simulation tools, software tools. It is also a major effort that we have done in terms of developing reference designs and application balls, where the microcontroller is in the middle, surrounded by power and Analog products. And I believe is, of course, in general, the fact that -- in terms of technology and in terms of quality of the products, we have now an important asset that is not only the 8-inch of the past, but is also the 12-inch. Today, in this very moment, if you take a fab like Crolles, I think more than 1/3 of the fab is on advanced microcontrollers. So it's the new nonvolatile memories technology. So it's all of this. It's a combination of many things. So overall, it's the ecosystem. So now competition is there. We know that. I mean, this is a big business. We have some hope that if we put together, secure microcontroller and general-purpose microcontrollers, last year, we should be #2. We have some ops [ph]. We will see the result. But this would be great because 3 years ago, we were #4. And we know that Renaissance is much bigger than us. It's also the result of the combination of 3 companies. But our ambition, of course, is to grow a lot in this business. And this is without Automotive, because Automotive is different product and different technologies. So the one question was on [indiscernible] one question on the exchange rate and the revenue's progression.
Unknown Analyst: [indiscernible] low point?
Unknown Executive: Because you said this is the low point, so we could kind of expect sequential growth throughout the year.
Carlo Ferro: Well, the first question is about the exchange rate, the outlook for the quarter is based on an average euro-dollar rate at 1.35. It reflects the rate we have experienced in January. It reflects the outstanding edging and it assumes the amount of February and March at 1.36.
Unknown Analyst: [indiscernible]
Carlo Ferro: The exchange rate?
Unknown Analyst: Yes. What's the FX [ph] rate you're assuming in your 10%, 2015 margin volume?
Carlo Ferro: This is the fact, I'll say, we have somehow already digested in October in the sense that when the guys are surfing [ph] set in December 2012, the reference exchange rate was $1.30. When we have reiterated the guidance and the reset, the timing to achieve about 10% in mid-2015, in last October, the reference exchange rate was $1.35.
Unknown Analyst: [indiscernible]
Carlo Bozotti: Yes, we plan to grow Q2 over Q1, Q3 over Q4. It's something like this.
Unknown Analyst: One general question, Carlo. We see the industry growing at probably 1/2 the rate it used to be, targeting maybe 5% for this year to 3 years more or less flat. Do you think this lack of growth will be a trigger for further consolidation in the industry? And if that's your scenario, how ST micro will play into that scenario?
Carlo Bozotti: It is a belief because this industry did not consolidate. This is also somehow related to the business model and to the fact that the model of the FOUNDRY business developed, particularly in Taiwan. And this is a model that has somehow decreased the level of -- the barrier to entry because this FOUNDRY company, they are providing services to major companies, but also to small companies. And it's true that there are independent on the manufacturing. There are areas where they are indeed very intense. Let's make an example. When we decided to establish ST-Ericsson, we had major customers pushing for this and the major customer, of course, was a $2 billion customer to us. And we decided not to do this alone because it was too early but to share. And this has nothing to do with the FED and has nothing to do with the silicon technology. It's just the R&D effort that was so massive that we could not withstand alone in ST. So I think another driver for consolidation could be the major effort in terms of spending, particular in areas like smartphone is very, very, very heavy. I -- my assessment is that we will not see a really much different trend. This is my personal assessment in this business. I believe that the industry today, I believe, I know, that the industry today, the priority is organic growth and making sure that we land with expenses close to $600 million. And of course, there are areas where our ambition to be to make steps. And these are areas now that are in areas where we believe that the business is very, very stable, where we believe that we would not incur any risks of major swings in the dynamics of the market. But again, this is not on the table. Today, the priority, of course, is to execute our roadmap.
Tait Sorensen: Hold on just a second, please.
Unknown Analyst: You build TIN national and [indiscernible] is not a trend that you think could continue and potentially sweeten ST micro because these are your main competitors?
Carlo Bozotti: Well, I'm not sure it's a trend. I mean, for sure, there are cases and there will be cases. There is no doubt. But I think -- I do not see a significant acceleration of this trend. I think if we did it would be more cases, and the major reason for this is that if you are a small company, even a startup company, you don't have the barrier of investing in manufacturing, because you can use third-party resources to produce your products. And this is a significant -- how can we say -- it is an element that is preventing a much stronger and a much rapid consolidation of the business. For sure, there will be cases. There will be cases. You mentioned one. there will be more, for sure, but I'm not sure there will be a massive, a real acceleration in this respect.
Unknown Analyst: I would like just to have a brief focus on Internet of Things. We believe in IC [ph] that it's going to be something new is going to happen starting from 2014. Of course it will enlarge your addressable market. I think that there will be a lot of opportunities for you in this [indiscernible] area, but there will be a lot of risk, too, newcomers, startups, and so on. Do you think that you have -- you're well prepared for this big wave that's going to happen or?
Jean-Marc Chery: The answer is yes. Yes, we're prepared because why? Because Internet of Things is a combination of ingredients. The ingredients are the sensors, the actuators, some intelligence some microcontroller, connectivity, so Bluetooth low-energy, for example, and power management, because generally this kind of device is -- they embed a small battery and we expect a long life so we need to manage this energy. In some cases, you must embed some energy-harvesting devices too, which is generally based on MEMS also. So this combination of the MEMS family, the sensors family, the microcontrollers low-energy, Bluetooth low-energy and power management is putting ST in the best position. And then the devices, because this market of Internet of Things is very wide. I mean, there's a number of applications and unlimited number of applications.
Unknown Analyst: You also need to be there in end-to-end solutions in sort of the [indiscernible], or -- are you working on that kind of environment?
Jean-Marc Chery: Absolutely. The end-to-end solutions are bound by our customers because there are wideness [ph], there are healthcare, there are so many applications. And we have partnerships with other customers because we support them beyond only the silicon. We provide some piece of software, not the whole software but a piece of software accompanying this combination of devices. I talked about sensor and sense of fusions, because there are many, many sensors, there are more than 1 or 2, or 6, could be now up to 11 or 12 sensors combined. So we must provide this aggregation and the software and the drivers coming from -- with this aggregation and we've also [indiscernible] universities and partners because sometimes, obviously, they don't know exactly what they can do with this combination, and we don't know what is the end-to-end application. So we have to work together.
Unknown Analyst: So you think you can become the European champion of Internet of Things?
Carlo Bozotti: Well, I think so. I think so because it's always better to see what you have today and what your customers are buying from you today. I have a very -- I think it's midsize customers but I think is very successful customer. And I believe we can mention because I think we have mentioned in the past that we can. So this is an example of a customer that is making wearable products. I think they are located in San Francisco. And this is a customer where clearly, the contribution that we can give is the MEMS, so the sensors, but those are the very low-power microcontroller and also the connectivity at very low-power again. And put everything in a very teeny package, integrating the 3 pieces of technologies in 1 package for their solutions. So this is a very good example. I believe there are, of course, many, many competitors here but we have a good base of sensors, a good base of low-power microcontrollers, a good base of low-power connectivity devices and a good base of power management. And we can integrate all of them from an application point of view, even some time in 1 package. So the solution then can be very small and suitable for many product -- profitable products. In another areas, I think, for instance, mobile and care. This is another area. So there are several. Now the point is, unfortunately, the volume on these things takes time to develop. If you compare a massive smartphone volume with this kind of products that is still a very significant get in terms of volume and also in terms of, let's say, short to mid term production or opportunities.
Tait Sorensen: Let's have one more question Jürgen, and apologies for the other questions, but given the time, I'm sure. Okay Carlo wants to do 2. So okay. We have the break. We have lunch. Jürgen.
Jürgen Wagner - MainFirst Bank AG, Research Division: What could you do to your portfolio assuming that you realize the second half macro is not playing out that well or new competition is coming up?
Carlo Bozotti: What could we do to our portfolio. Listen, this is not the moment to. Of course, we always need to have backup plans, and I think we have backup plans. It's very important for sure to have backup plans in terms of, for instance, the 12-inch activity, which is the best example because, of course, the 12-inch activity is a very important investment. And I would not rely -- our growth strategy just on 1 technology family. So what we're doing and what we've been doing is to expand the product portfolio that we have in Crolles and to make sure that it's balanced between logic, for instance, and a number of memories or Imaging, but in Crolles, number of memories is becoming more and more important both for MMS, but also for APG. So this is a good example. Now, we have defined our strategy 1 year ago, now the focus, of course, is to make sure that we succeed. We have identified 5 product lines. We want to focus on these product lines. And today, I believe that we have the traction with the customers, including in DCG to make it happen. I think it's important that we remain flexible. It's important that we go down with our expenses close to $600 million. It's important that in Crolles, we have the flexibility to produce much more microcontrollers and less logic or vice versa. But today, we have a strong, strong commitment to, of course, to execute on the roadmap, but on the strategy that we have defined, it is calling for leadership, at the end of the day, is about product leadership on these 5 product lines.
Tait Sorensen: I'll move to the last question in the plenary and we'll move to lunch.
Unknown Analyst: Three quick question. First one is on Internet of Things. Could you please quantify probably the exposure [indiscernible] level of the whole team of the Internet of Things. That would be helpful. That's the first question.
Carlo Bozotti: You had quantified. I think we've really made an effort to quantify wearable. You understand it's not easy to quantify Internet of Things because it is very varied, it's many different things. It's clearly about network of smart sensors. There is no doubt that this network of smart sensors can be used in a variety of applications. For instance, they can be used in a car, they can be used in wearable, they can be used in industrial control, they can be used even in the car. So it is really a variety of applications so it's very, very difficult to quantify all of these. And I will say also somehow we need to be careful that we do not double count, because at the same time we project our automotive customers' forecast. But clearly, we are working on this. And one exercise that we have done seriously in the company is really to look at the wearable products. That is one of the part of Internet of Things. It's very interesting because basically you can move, you have kind of a personal hub, maybe in your shoes. And then you communicate everything, including the network of sensors that we have on your body with a personal hub and then the personal hub is connected to any kind of data center. But, we have done -- I think, Carlo, you may report if you remember.
Carlo Ferro: No, no. I do remember as really this is a great opportunity this type of demand. As you have said, a great opportunity for our positioning, even ability of restoring, processing, sensing and communicating of our technologies. At the end of the day, what really is apart from our product groups and our regional network we have quantified is an opportunity in the range of $250 million to $300 million revenues in the horizon of 2015.
Unknown Analyst: The second one, on the set-top box business. Can you make a quick comment on competition. I mean, your biggest competitor is probably Qualcomm in the U.S. How do you feel they're acting to your kind of comeback on the market, especially in the U.S? And then I think we've heard that Qualcomm was talking about entering the business. Is that correct for you or not?
Carlo Bozotti: Well, I never visited so many operators like in the last 3 months. And there is a -- I believe there is a very, very strong traction on our new ARM-based products. This traction is for satellite, this traction is for fiber-to-the-arm, this traction is for cable. We have started a certification from the cable in the United States on the DOCSIS 3.0. I think it is a good momentum for ST in terms of design wins. We respect our competitors. I think we have put a major effort here. The major effort is, of course, also thanks to some additional resources coming from ST-Ericsson and the fact that we have decided not to win the digital part of Wireless. The U.S. market is a big market here. It's a market that is in the range of $1.3 billion. And in the past, our participation in this market was basically through 1 customer, but not on this business model. On the business model to make ASICs for them and they developed the platform, and we can say the customer was [indiscernible]. But then with the transition with their position by Cisco, the business model changed and we had to revisit our strategy and to make sure that we have a full platform for this market. We started with ARM, we [indiscernible] now there are many more ingredients. there is the MoCA, there is DOCSIS 3.0, there will be the DOCSIS 3.1. You can call it a 4K. [ph] And finally, we won, we won important operators, major operators both in U.S. for cable and in Europe for satellite with this new class of products. And we are very determined to win here because as we said, it's thanks to this and thanks to the FD-SOI pervasiveness in the consumer arena that we want to double our DCG business.
Unknown Analyst: Last question is regarding OpEx reduction. Can you mention that you could do more on both family of products. Can we expect another wave of OpEx, another plan of cost saving?
Carlo Ferro: We exit Q4 with $656 million of R&D plus SG&A. And $28 million of grants so a net of $626 million, and we said earlier this is now in the mid of the range and we are working, and we'll go towards the low-end of the $600 million to $650 million net OpEx rate. And this would be a combination of some further reduction in gross OpEx plus the advantage of the grant to fully kick in, in our [indiscernible] in a systematic way.
Tait Sorensen: Okay. So I think with that, we'll close the formal plenary session. We'll head to the lunch, which is right outside and to your right. And also, we do have some other senior executives from the regions and other groups. So please enjoy. Thank you for attending.